Presentation: 
Steve Murrells:
Matthew Osborne:
Steve Murrells:
Steve Murrells:
Charles Hall:
Steve Murrells:
Charles Hall:
Steve Murrells:
Charles Hall:
Steve Murrells:
Charles Hall:
Matthew Osborne:
Damian McNeela:
Steve Murrells:
Clive Black:
Steve Murrells:
Clive Black:
Matthew Osborne:
Clive Black:
Steve Murrells:
Clive Black:
Steve Murrells:
Matthew Webb:
Steve Murrells:
Matthew Osborne:
Matthew Webb:
Matthew Osborne:
Steve Murrells:
Darren Shirley:
Steve Murrells:
Matthew Osborne:
Steve Murrells:
Darren Shirley:
Steve Murrells:
Matthew Osborne:
Darren Shirley:
Steve Murrells:
Andrew Ford:
Steve Murrells:
Andrew Ford:
Steve Murrells:
Andrew Ford:
Matthew Osborne:
Steve Murrells:
Anubhav Malhotra:
Steve Murrells:
Matthew Osborne:
Anubhav Malhotra:
Matthew Osborne:
Steve Murrells:
Operator:
Steve Murrells: